Operator: Statements made by management during this call with respect to forecasts, estimates or other expectations regarding future events or which provide any information other than historical facts may constitute forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control. That may cause the company's actual future results or performance to materially differ from any other future results or performance expressed or implied by those statements. These risks and uncertainties include risk factors disclosed by the complainant from time to time in its filings with the SEC including in the company's annual report on Form 10 K filed with the SEC on March 6, 2019. Furthermore, as we start this call, please also refer to the statements regarding forward looking statements incorporated in the company's press release issued this morning and please note that the contents of the company's conference call this morning is covered by those statements.  During this conference call management will make references to the EBITDA which is non GAAP financial measure and a reconciliation of the non GAAP measures to the applicable GAAP measures can be found in the company's current earnings release, a copy of which is located on the company's website, www.dawson3d.com. The call is scheduled for 30 minutes on the company website. We will not provide any guidance. I would now like to turn the call over to Steven Jumper, Chairman, President and CEO of Dawson Geophysical Company. Please go ahead sir. 
Steve Jumper : Well thank you Ashley. Good morning and welcome to Dawson Geophysical Company's fourth quarter and yearend 2019 earnings and operations conference call. As Ashley said, my name is Steve Jumper, Chairman, President and CEO of the company. Joining me on the call is Jim Brata, Executive Vice President and Chief Financial Officer. Before we get started, just a few things to cover. If you would like to listen to a replay of today's call it will be available via webcast by going to the investor relations section of the company's website at www.dawson3d.com. Information reported on this call speaks only of today, Thursday February 27th, 2020 and therefore you are advised that time sensitive information may no longer be accurate as of the time of any replay listening. Turning to our preliminary fourth quarter and 12 months ended December 31st, 2019 financial results. For the fourth quarter ended December 31 the company reported revenues of 33.6 million an increase of approximately 21% compared to 27.7 million for the quarter ended December 31st, 2018.  For the fourth quarter of 2019 the company narrowed its net loss to 5.8 million or $0.25 loss per common share and a net loss of 11.8 million or $0.51 loss per common share for the quarter ended December 31, 2019. The company reported negative EBITDA of 788,000 for the quarter ended December 31, '19 compared to negative EBITDA of 5.4 million for the quarter ended  December 31, 2018. For the year ended December 31, 2019 the company reported revenues of 145.8 million a decrease of approximately 5% compared to 154.2 million for the year ended December 31, 2018. For the full year of 2019 the company narrowed its net loss to 15.2 million or $0.66 cents loss per common share compared to a net loss of 24.4 million or $1.07 loss per common share for the year ended December 31, '18. The company reported EBITDA of 6.3 million for the year ended December 31, '19 an increase of approximately 31% for the year ended December 31, 2019 compared to 4.8 million for the year ended December 31, 2018. During the early part of the fourth quarter of 2019 the company operated a peak of four crews in the United States, primarily in the Permian basin region, including three large channel account crews.  Crew activity in Canada was minimal during the fourth quarter of '19. Fourth quarter and early part of the first quarter in the US historically has been challenging due to shorter day, shorter work days in the holiday season. The winter season in Canada concludes at the end of the first quarter of 2020, upon completion of the Canadian season, the equipment will redeploy to the lower 48 in the second quarter of 2020. As in recent quarters the majority of the company's projects are on behalf of multi client companies in the US with some activities directly for exploration production companies. I will now turn control of the call over to Jim Brata who will review the financial results and I will return with some final remarks and our outlook in the first half of 2020. Jim. 
Jim Brata: Thank you, Steve and good morning. Revenues for the fourth quarter of 2019 were 33.6 million an increase of 21% compared to 27.7 million for the quarter ended December 31st, 2018. As stated in our earnings release issued this morning during the fourth quarter of 2019 the company operated a peak of four crews in the US, primarily in the Permian Basin region including three large channel account crews. Crew activity in Canada was minimal during the fourth quarter of 2019. Fourth quarter and early start to the first quarter in the US historically been challenging due to shorter work days in the holiday season. The winter season in Canada concludes at the end of the first quarter of 2020 upon completion of the Canadian season equipment will redeploy to the lower 48 in the second quarter of 2020. As in recent quarters the majority of the company's projects are on behalf of multi-client companies in the US with some activity directly for exploration and production companies.  Also services in the fourth quarter of 2019 was 30.8 million, an increase of 8% compared to 28.5 million in the same quarter of 2018. General and administrative expenses were 3.8 million in the fourth quarter of 2019 compared to 4.2 million in the fourth quarter of 2018. Depreciation and amortization expense in the fourth quarter of 2019 was 5.2 million a decrease of 23% compared with 6.8 million in the same quarter of 2018. Net loss for the fourth quarter of 2019 was 5.8 million or $0.25 loss per share compared to a net loss of 11.8 million or $0.51 loss per share in the fourth quarter of 2018. We recorded an income tax benefit of 93,000 in the fourth quarter of 2019 compared to an income tax benefit of 409,000 and the same quarter of 2018. EBITDA in the fourth quarter of 2019 was negative 788,000 compared to negative EBITDA of 5.4 million in the same quarter of 2018. An EBITDA reconciliation was provided in our earnings release issued this morning.  Now I'll highlight some results for the year ended December 31st, 2019. Revenues for the year ended December 31, 2019 were 145.8 million a decrease of 5% compared to 154.2 million for the year ended December 31st, 2018. Also services for the year of 2019 was 123 million, a decrease of 7% compared to 132.9 million for the year ended December 31st, 2018. General and administrative expenses were 17.2 million for the year ended December 31st, 2019 compared to 16.3 million for the year ended December 31st, 2018. Depreciation and amortization expense for the year ended December 31st, 2019 was 21.8 million, a decrease of 27% compared to 30 million for the year ended December 31st, 2018. Net loss for the year ended December 31st, 2019 was 15.2 million or $0.66 loss per share compared to a net loss of 24.4 million or $1.07 loss per share for the year ended December 31st, 2018. EBITDA for the year of 2019 was 6.3 million, which was an increase of 31% compared to EBITDA of 4.8 million for the year of 2018. An EBITDA reconciliation was provided in our earnings release issued this morning.  And now I'll highlight some balance sheet items, our balance sheet continues to remain strong as of December 31st, 2019 we have debt including obligations under finance, financing resource of approximately 4.2 million, cash and short term investments of 33.6 million. Our current ratio was 3.6 to 1 and working capital was approximately 47.4 million. Well with that I'll turn the call back to Steve for some comments on our operations.
Steve Jumper: Thank you Jim, as stated in our earnings release issued this morning, our fourth quarter and year end results for 2019 improved compared to comparable periods in 2018. While the company reported a decrease in revenues for the year ended December 31, 2019 our net loss was substantially reduced and EBITDA increased by more than 31% compared to the year ended December 31 of '18. Gross margins for the year ended 2019 improved by approximately 2% as a result of improved core efficiency, increased utilization of recording channels and energy source units as well as continuing success with our cost control initiatives.  While fourth quarter 2019 results were below those as the company's third quarter our fourth quarter results showed significant improvement compared to the fourth quarter of 2018. Management believes that the company's ability to successfully field large scale deployments is a contributing factor to Dawson 's Geophysical's success as the industry continues to transition toward a channel and energy source business model and away from the traditional crew count model. Despite this improvement, the company's fourth quarter 2019 results were negatively impacted by the completion of several large projects early in the quarter, client delay that moved the start of new projects into the first quarter of 2020 and lower utilization of reporting channels energy source units. Utilization was suppressed into the early part of the first quarter of 2020. Capital expenditure for the fourth quarter were 748,000 in total, possibly 3.6 million for the 12 months ended December 31, 2019 primarily for maintenance capital items. The company's Board of Directors has approved an initial capital budget of 5 million for 2020 as Jim said earlier, our balance sheet remains strong with 33.6 million of cash, restricted cash and short term investments and 47.4 million of working capital as of December 31, 2019. Company has notes payable and finance leases of 4.2 million as of December 31, 2019. The oil service markets remain challenging as the capital spending levels of exploration and production companies remain somewhat constrained and unpredictable. Utilization visibility in the second half of 2020 remains unclear as of the middle part of the first quarter the company is near full utilization with three large crews operating in the US primarily in the Permian basin region and three crews operating in Canada.  Based on currently available information the company anticipates the same level of activity through the end of the first quarter of 2020 where the three large crews in the US operating well in the second quarter of 2020. While the seismic market remains challenging conversation with our clients primarily providers of multi-client data libraries are positive for continued levels of recent activity through 2020. And with that actually I believe we are ready to open the call up for questions. 
Operator:
Steve Jumper: Okay. I appreciate that. Thank you, Ashley. And I want to thank everybody for listening in to the end of the call. We look forward to speaking with you again in 90 days I hope everybody has a great day. Thank you.
Operator: Ladies and gentlemen that completes the call. Thank you for your participation. You may disconnect.